Operator: Welcome to the First Quarter 2021 Stanley Black & Decker Earnings Conference Call. My name is Shannon and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to the Vice President of Investor Relations, Dennis Lange. Mr. Lange, you may begin.
Dennis Lange: Thank you, Shannon. Good morning, everyone, and thanks for joining us for Stanley Black & Decker's 2021 first quarter conference call. On the call in addition to myself is Jim Loree, CEO; Don Allan, President and CFO and Lee Mcchesney Vice President of Corporate Finance and CFO of Tools & Storage. Our earnings release which was issued earlier this morning and a supplemental presentation which we will refer to during the call are available on the IR section of our website. A replay of this morning's call will also be available beginning at 11 AM today. The replay number and the access code are in our press release. This morning, Jim, Don and Lee will review our 2021 first quarter results and various other matters followed by a Q&A session. Consistent with other calls, we are going to be sticking with just one question per caller. And as we normally do, we will be making some forward-looking statements during the call based on our current views. Such statements are based on assumptions of future events that may not prove to be accurate, and as such, involve risk and uncertainty. It's therefore possible that the actual results may materially differ from any forward-looking statements that we might make today. We direct you to the cautionary statements in the 8-K that we filed with our press release and in our most recent 34 Act filing. I'll now turn the call over to our CEO, Jim Loree.
Jim Loree: Thanks, Dennis and good morning everyone. I have to say it’s an exciting day for us here at Stanley Black & Decker. Today, we have the opportunity to report an outstanding start to 2021 highlighted by record revenue and EPS and many other accomplishments. These powerful results were backed by strong markets and excellent operational execution, which supports our improved outlook for the year. And thank you to our 53,000 employees around the globe who delivered these results by maintaining focus on our pandemic era priorities. The priorities of employee health and safety serving our customers with continuous operations and doing our part to help our communities mitigate the impact of the virus have served us extraordinarily well this past year. First quarter revenues were up 34% to $4.2 billion versus prior year, each of our segments and regions contributed to deliver an all-time record 31% organic growth. Our Tools & Storage business continued on its extraordinary growth trajectory, with 45% organic growth, yes, 45% growth in the quarter. All regions and business units contributed to the performance, with blazing hot markets across the globe, led by a confluence of positive factors. Vibrant markets and secular trends, including the consumers reconnection with a home and garden, ecommerce, and outdoor electrification in concert with our ubiquitous channel strategy and an intense focus on supply chain execution enabled a strong business growth. Our portfolio of iconic brands such as DeWalt, Craftsman and Stanley, in combination with industry leading innovation has proven to consistently deliver on-going gains and market share at the POS level and now at the selling level as well. The tools first quarter performance is an outstanding example of what this powerful combination can deliver. Industrial organic growth was 6% as we've seen a strong double digit recovery in automotive, general industrial and attachment tool and markets along with share gains. This was partially muted by continued market declines in aerospace and oil and gas. And for security, 1% organic growth was in line with our expectations given the many restrictions placed on our installation and service techs. We make continual progress with our digital health and safety product offerings, and the security business transformation to a data enabled technology provider is accelerating. We are excited about the full potential of these opportunities to support revenue growth throughout the year. And that was great news regarding our operating margin rate as well. The rate for the quarter was 17.6%, up 760 basis points from the prior year. But volume leverage, productivity, cost control, price and margin resiliency all contributing. Adjusted EPS for the quarter was another all-time record at $3.13, up 161% over prior year. And both our operating cash flow and free cash flow were each about $240 million higher than in the same period in 2020, a year in which the company generated a record $1.7 billion in free cash flow. All-in, an impressive first quarter and a strong start to 2021. This great performance and the sustained market recovery through April has given us more visibility into the second quarter and to some extent the back half as well. As a result, our point of view for 2021 and momentum going into 2022 has significantly improved since I outlined our initial observations during our January earnings call. First, as you can see, tools remains on a roll. In addition to all the positives already mentioned, the Pro is back in full force, and the commercial and industrial markets are hot as well. Europe is far stronger than previously imaginable given many countries are still bogged down in lock downs and the emerging markets are blazing. We are clearly benefiting from secular trends that have been amplified and accelerated by the pandemic. We're also benefiting from the extraordinary efforts of our people to manage the supply chain effectively amidst numerous challenges, including parts availability among others. With that said, many of our retail partners would like to replenish their inventories as our current production levels are basically serving their point of sale growth. In this regard, we recently have begun production in two new factories in Mexico and an additional one in Fort Worth, Texas will be up and running in a matter of weeks. Our current view is that this will enable the approximate four week channel inventory rebuild to occur in the back half of this year. The secular surge and global DIY driven by the consumers reconnection with the Home and Garden continues to be a key demand driver across our global markets. The massive shift to e-commerce continues and we achieved nearly 100% growth in this growing channel during the quarter. The electrification of the outdoor product market is accelerating just as we have launched a significant number of new products and increased listings. We now expect this business to reach $900 million in 2021 up approximately $250 million versus last year. We are already benefiting from our multi year relationship with MTD and our option to acquire the remaining 80% at a very attractive seven to eight times EBITDA multiple with a window that opens in July of this year. Our success comes from building a position as the world's leading Tool Company that can attract diverse world class talent in an array of iconic brands, market leading and leading innovation, immense category, breadth and depth, and a passion to serve our customers, shareholders and other stakeholders. In this regard, I would like to underscore a key point. We are gaining share and making bold investments to widen our lead in the future. And as it relates to profitability, we once again delivered significant gross margin and operating margin expansion and are continuing to perform at historically strong levels. At this point, all temporary cost options have been restored. And we are making significant investments as I said. We have incorporated increased inflation into our outlook and we are taking aggressive actions to protect our margins in 2021, 2022 and Lee will review those in a few moments. Additionally, our tech enabled margin resiliency program will support our margin rates. And finally, the market rebounds across automotive, general industrial and attachment and markets and security continued. We remain optimistic that this will continue and the potential for increased global infrastructure spend could enable further gains across the portfolio. So in summary, we have high conviction in our prospects for growth, supported by our catalysts, the positive trends I outlined benefiting our markets and cyclical recoveries across the businesses. As a result, we are raising our adjusted EPS guidance to a range of $10.70 to $11 per share. This represents a significant update from our security's previous guidance. The revised midpoint of $10.85 now reflects a 20% increase versus prior year with a total company organic growth at 11% to 13% for the year. And as you can see, there's a lot to be excited about in what lies ahead of us in terms of significant opportunities for value creation. And now I will turn it over to Don Allan to cover the first quarter and our updated 2021 guidance.
Don Allan: Thank you, Jim. And good morning everyone. I am pleased to report on the business segment results that contributed to our exceptional start to 2021. Tools & Storage delivered 48% revenue growth with volume up 42% and price and currency each contributing an additional three points, resulting in 45% organic growth for the first quarter. In addition, the operating margin rate for the segment was 21.4% up 990 basis points versus the prior year. This is the result of the team's relentless focus on margin excellence and strong operational performance. Volume, price, productivity and cost control were the main drivers of this expansion. These positive drivers were partially offset by higher costs and supply chains such as expediting product via air freight to serve the incredibly strong demand, as well as new growth investments to support share gains in the future. On a geographic basis, we had incredibly strong organic growth and market share gains across all regions, up 41% North America, 47% in Europe, and 67% in emerging markets. This performance was driven by our industry leading innovation, strong professional demand, and the on-going trends from secular shifts related to e-commerce, outdoor product electrification, and the consumers reconnection with the home and garden. The U.S. retail channel delivered 48% organic growth, as underlying consumer demand remained elevated with continued momentum from professional and DIY users. Additionally, our omni channel and etailer e commerce platforms nearly doubled in the first quarter, which further reinforces our conviction behind the additional investments we are making to capture this accelerating opportunity. Point-of-Sale growth for the quarter remained exceptionally strong and consistent with the high end of our forecasted Q1 range. Retailer inventories remain relatively in line with Q4 2020 levels, so the anticipated increase in store inventories of approximately four to five weeks is now expected to occur in the back half of the year. The North American commercial and industrial tool channels are continuing to experience positive sequential trends with growth in the mid-30s versus low single digit decline in Q4 2020. Pure play construction focus customers within these channels were up close to 40% more than two times the mid-teens growth we experienced last quarter. That resounding signal that the pro is back and demand is clearly accelerating this space. Also, with the recent positive trends in North American industrial manufacturing activity, our MRO customer base rebounded this quarter as well posting growth in the high 20s as compared to double digit decline in the fourth quarter. Now shifting to Europe, the European tools business relies impressive share gains across all regions generated by the rapid acceleration of e-commerce as well as a retail champ -- the retail channel strength. This performance was led by more than 80% organic growth in the U.K. while France, Central Europe, the Nordics, Italy and Iberia were all up over 30%. Finally, the momentum in emerging markets continued to accelerate with strong construction related demand in addition to impressive traction in e-commerce. Latin America was up 77% organically, with all countries up over 50% and led by an outstanding 86% growth in Brazil. Asia delivered 62% organic growth with China and India both at least doubling in size. South Korea, Malaysia, and Vietnam all grew in excess of 50%, while Japan, Thailand and Indonesia each posted strong double-digit growth for the quarter. Russia and Turkey remained strong, delivering 52% and 89% growth respectively. Those numbers are absolutely crazy, but they're wonderful. So let's turn our attention to Tools & Storage SPUs after reviewing the fantastic geographic revenue performance. Power Tools delivered 50% organic growth, which was the result of continued momentum from the positive home and construction trends, as well as sharp commercial, and supply chain execution combined with new product launches. New core innovations led the way, building upon our strength of Craftsman, the fastest growing brand in the industry, and DeWalt, the largest professional tool brand in the world as measured by total revenue. We built these positions with industry leading innovation, launching products such as Flexvolt, Atomic, Xtreme, Power Detect, Flexvolt Advantage all within the last five years. These products are delivering growth well ahead of the SPU average and are positioned for our pro users. To further highlight positive professional demand, Flexvolt grew over 80% in the quarter. This quarter and moving ahead, we are providing more top line disclosure for our outdoor products business, particularly as it increases importance of the growth catalysts and with our option to purchase the remaining 80% of MTD opening mid-year. I am pleased to report it was a record breaking start to the season with organic growth in excess of 120%. This performance is driven by the incremental listening wins we covered last quarter, and leveraging cordless innovations under the Black & Decker Craftsman and DeWalt brands. All of our major retailers participated in this explosive growth. It’s exciting to see our new products at the market and early season reads on cell two are very positive. This is a major growth margin and ESG opportunity. As we shape the conversion to electrification and bring our cordless capabilities to the outdoor equipment market. We could not be more excited about this industry and the growth potential it creates for our company over the next several years. Finally, hand tools, accessories and storage grew 28% organically as market rebounds, and new product introductions fueled the growth. We continue to innovate in our key construction auto and industrial markets. We are seeing new product momentum, including a variety of Craftsman and DeWalt plastic and metal storage solutions, as well as robots growth and the new DeWalt tape measures and accessories. So in summary, there are a few points I want to reinforce related to our Tools & Storage business. One, we continue to leverage an industry leading position. The team has built this position over time and it is supported by our innovation, brands, category breadth, operational excellence, and focus on keeping our customers and end users at the center of what we do. Two, this is a global phenomenon. The powerful trends that we are harnessing for growth are not unique to one geography. And three, this is fueled, enabled by the dedication, passion and agility of our people. The business delivered the largest first quarter in history as it relates to sales, profits and margin rate and the execution was superb. Thank you to the entire team for a job well done. I am excited about the possibility of record breaking performance is continuing in the future quarters. Well done, tools team. Moving to Industrial, this segment delivered 11% total revenue growth, which includes 6% volume 3% currency, and 3% from the CAM acquisition. This was partially offset by one point from an oil and gas product line divestiture. Segment organic growth continued to improve sequentially with positive 6% growth in the quarter. The operating margin reached 15.9%, an increase of 270 basis points versus prior year as the benefits from volume, productivity and cost reductions were only partially offset by new growth investments. Looking further within the segment, engineered fastening revenues were up 9% organically, as we continue to see improving automotive and industrial end markets. Automotive fasteners were up 16%, outpacing global light vehicle production by approximately 500 basis points. This was held back somewhat as we move through the quarter and navigated OEM disruptions due to their supply shortages. Our automotive system business was up 17% a very good sign that capital spending is improving with our automotive OEM. Growth within industrial fasteners turned positive this quarter, delivering low double digit growth driven by the continued momentum and global manufacturing and industrial activity. Combined with a modest impact from customer inventory increases. Infrastructure organic revenues were down 2% however, attachment tools had 16% growth as demand increase from OEMs and independent dealers. This was more than offset by significantly reduced pipeline construction activity, which resulted in a 30% decline in oil and gas. Shifting to Security. Total revenue was up 2% with a four point positive impact from currency, from price and acquisitions each contributed a point. This was partially offset by a four point decline related to the international divestitures completed in the third quarter of last year. Overall, North America was flat organically as growth and health and safety offerings within automatic doors and healthcare were offset by lower installations within commercial electronic security. The field organization continues to experience productivity challenges, as their customers slowly reopen and allow more on site access. European organic growth was up 4% as new Data Driven Product Solutions supported 17% growth in France, and 4% in the Nordics. France in particular has embraced the technology transfer in a transformation we ignited in this business in 2019. And it's experiencing the growth that we believe is possible across the entirety of commercial electronic security. Our new solutions in health and safety continued to build momentum, contributing approximately two points of growth in the quarter. The positive secular trends and underlying demand once again proved resilient in these markets despite incremental lockdowns due to the pandemic. The bidding code activity for these new solutions continues to build. And that combined with the executable backlog at record highs gives us confidence that security is set up to deliver strong organic growth for the remainder of 2021. Overall security segment profit rate, excluding charges were 8.5%, up 110 basis points versus the prior year. As price and cost control was partially offset by the impact from growth investments related to our SaaS solutions, touchless door technology and other health and safety apps. I would now like to turn it over to Lee Mcchesney who is our VP of Corporate Finance and CFO for Tools & Storage. Many of you know Lee from investor conferences over the last year, and he will now walk you through the cash flow for the quarter. And our game plan to tackle inflation. Lee?
Lee Mcchesney: Thank you, Don and good morning, everyone. Moving to slide seven, I will now review our free cash flow performance. Free cash flow improved $242 million versus prior year behind a strong operational performance and earnings growth. Now please keep in mind that a free cash outflow in the first quarter is in line with normal working capital seasonality, which was somewhat amplified by the strong demand to start the year as compared to historically slower period for the business. Working capital balances also are higher than prior year as you work to serve the strong demand as well as improve the inventory positions for us and our customers. Now, despite the higher balances, working capital turns hit 7.1 a one point turn improvement versus prior year. We remain confident that we will do with a strong cash flow generation for the year inclusive of CapEx investments to support further growth. We will continue to drive working capital efficiency across the company in combination with a strong earnings performance. I’d now like to give you a quick update on commodity inflation. As many of you follow, steel and resin represent the two largest commodity exposures, and they have been impacted by rapid spot market increases as a global supply chain responds to the surge of demand and temporary supply gaps. This dynamic has occurred across many of our key commodities, opponents finished goods that we purchase. We now expect inflation headwinds to approximate $235 million, which is up $160 million versus our previous outlook of $75 million. Currency however, remains at $45 million positive offset to this cost pressure. The drivers of the incremental inflation are steel, resins, copper, aluminum, and some purchase materials such as batteries and electrical components. And as a reminder, we generally lock in our supply agreements one to two quarters in advance. And this pressure has to work its way through inventory and therefore, the majority of this year-over-year headwinds will be realized in the second half of the year. In response, we are initiating additional pricing and productivity actions, which will partially offset the 2021 impact of the headwinds as well provide a significant carryover benefits into 2022. We believe these actions can offset about a third to a half of the 160 million incremental headwinds, and I've included that assumption in our guidance. Additionally, we continue to have approximately $100 million of margin resiliency available over the balance of the year, which is not included in our guidance today. This will act as an additional contingency to help us offset any incremental headwinds that may materialize or support a better margin outcome for the full year. We are remaining agile in our response to inflation and are leveraging the SPD operating model to continue to deliver the strong margin levels we've established in full year 2020 and implied in our guidance for 2021. With that, I'll turn it back over to Don, who will walk you through our updated guidance.
Don Allan: Thanks Lee. Turning to slide nine, I will now outline the organic growth assumptions for both the second quarter and full year. We expect second quarter organic revenue growth to approximate 30% for the company. In 2Q we expect the Tools & Storage business to grow 35% to 40% with continued strength across all regions and channels. We are planning for industrial to grow in the mid-to-high teens with continued momentum and industrial fasteners and markets and attachment tools. Automotive will continue to show growth on the easier comps. But we haven't cooperated moderated demand levels versus Q1 acknowledging the OEM supply constraints in the industry. Finally, aerospace and oil and gas were expected to remain depressed partially offsetting the stronger growth expectations and other areas of the segment. Turning to Security, we expect low double digit growth in the second quarter. We plan for revenue levels to improve sequentially, as we will benefit from increased access to customer sites to execute on the record backlog from the first quarter. Shifting to the full year we are raising the total company organic growth range to 11% to 13% with upward revisions in Tools & Storage and Industrial. Our confidence of growing market demand in Tools & Storage continues to strengthen. We are raising the Tools & Storage organic growth expectations to 14% to 16% versus our prior estimate of 4% to 8% for the full year. Both the first and second half assumptions improved. The first half assumption is based on stronger visibility to Q2 demand combined with the outstanding Q1 performance. The second half assumption includes the benefit from increases in channel inventory back to historical levels. Despite the improvement, we are assuming a decline between 2% to 4% in the back half acknowledging the tough comps. This represents growth of 12% to 16% versus 2019 and as a reasonable to your growth assumption given the strong market recovery occurring. However, we are preparing the supply chain for stronger demand scenarios and we will be ready should our planning assumption prove to be conservative, which is very which it very well could be given current global demand trends. The industrial outlook improved to 4% to 6% for 2021 as we have better visibility to industrial and attachment to market recoveries. We have built in the expected automotive customer supply chain constraints into our view. And then finally, aerospace and oil and gas will continue to be a significant headwind. Right now our view is that these markets will remain depressed for 2021 but become an upside opportunity next year. Lastly, we are maintaining our security organic growth assumption at 4% to 6% for the full year. The record backlog and commercial electronic security is encouraging and coupled with our data and technology based product offerings, and health and safety solutions. We are optimistic that the growth can accelerate throughout the remainder of the year. Now I'll summarize the remaining guidance assumptions on slide 10. We are raising and narrowing the 2021 adjusted EPS outlook to reflect the exceptional start to the year and improve demand outlook across most of our businesses. On a GAAP basis, we expect the earnings per share range to be $10.15 to $10.55 inclusive of various one time charges related to facility moves beyond integration costs and functional transformation initiatives. On an adjusted basis, we are increasing the EPS outlook from a $9.70 to $10.30 range, up to a $10.70 to $11 range. At the midpoint this is an increase of $0.85 versus the prior year guide and a 20% EPS growth versus the prior year. The drivers for improved adjusted EPS are outlined on the right hand side of the slide. Walking from the $10 midpoint from our January guidance, incremental pricing and volume net of incremental growth investments, along with margin resiliency, and other actions contribute approximately $1.50. This is partially offset by commodity inflation headwinds of approximately $0.80. In addition, we are planning to call our Series C Preferred Stock and the elimination of the preferred dividend adds a $0.15 benefit to 2021 bringing us to the current adjusted EPS midpoint of $10.85. Demand variability that I covered earlier remains at the primary driver beyond the adjusted EPS. We have also disclosed our current year full -- our current full year assumptions for the significant below the line items and our expectation for the pretax M&A and other charges to assist with your modeling. Additionally, the company is reiterating free cash flow to approximate GAAP net income. And lastly, we expect second quarters adjusted earnings per share to be approximately 25% of the full year performance. So in summary, we expect 11% to 13% organic growth, and approximately 18% to 22% adjusted EPS expansion for the company in 2021. A very healthy EPS expansion for the year, yet a balanced view recognizing the dynamic operating environment. As I said earlier, we are preparing for the potential for higher market demand beyond this guidance view and, as Lee mentioned have $100 million of margin resiliency not included in our guidance as a contingency to drive better performance or withstand new volatility. From a capital allocation point of view, we are very well positioned and have excellent flexibility due to our current cash position and leverage ratios. Therefore, we can retire the preferred stock mentioned earlier and react accordingly if our stock price trend presents an opportunity in the short term while staying on track with our expected timing of MTD later this year or early next. We are confident that we have positioned the company to deliver above market organic growth with operating leverage, strong free cash flow generation and top quartile shareholder returns over the long term, all while maintaining the safety of our employees and continuing to assist in our communities. With that, I will now turn the call back over to Jim to conclude with a summary of our prepared remarks.
Jim Loree: Thanks so much Don. And as you have they have seen and heard we had a very strong start to the year as we delivered record organic growth reflecting positive secular trends, vibrant markets and a strong array of growth catalysts. I am pleased with our team's continued efforts and excited about the enormous potential given the improved outlook and strong momentum we've built over the last 12 months. As we look to the future, our portfolio is uniquely positioned to benefit from these trends, several of which have been accelerated and amplified by the pandemic, the consumer reconnection with Home and Garden, ecommerce, electrification and health and safety. We are capitalizing on this opportunity by funding innovation, commercial and capacity investments to support continued organic growth and share gains. Additionally, our option to acquire the remaining stake in MTD in July has the potential to add up to $3 billion of revenue in 2022 and create an exciting multiyear runway for growth and significant EPS and cash flow accretion. Our passion for positive differentiated performance, becoming known as one of the world's most innovative companies and elevating our commitment to corporate social responsibility ESG has never been stronger. And that is in the wake of 1,016% TSR delivery during the 20 years or so since I've held C level positions in this company with support during that entire period from Don and Lee. We have a clear vision for winning in the 2020s taking our story to yet an even higher level, which you'll see up close and personal if you attend our virtual growth summit on May 13. This event will be a great opportunity for us to communicate more details on the compelling array of opportunities we are pursuing for growth and margin expansion, as well as our strong commitment to planet people, prosperity and governance. We will be showcasing a number of the executives leading these initiatives. So please reach out to Dennis, if you're interested in attending. And we look forward to seeing you there. And now we're ready for a Q&Q. Dennis?
Dennis Lange: Great. Thanks, Jim. Shannon, we can now open the call to Q&A, please. Thank you.
Operator:
[Operator Instructions] :
Nigel Coe: Thanks, guys. Good morning.
Jim Loree: Nigel, good morning.
Nigel Coe: A lot to unpack here. But I think I'll get the ball rolling on inflation. Obviously a big, big step up in the 235 how well ringfenced is that 235 at this point. Are you seeing current spot prices hold, for the balance of the year, and maybe just talk about the price actions you're planning to try and cover that. In particular, I know it’s industrial had neutral pricings. So I'm just wondering, what's, what's the strategy trying to recover price in industrial? Thanks.
Jim Loree: Yes, sure. I'll start with that. And then Lee will probably add a little color to. Yes, I mean, we were at 235 for inflation, the impact this year, up about $160 million from what we said back in January. I would say this is a very volatile environment right now. And it really depends on where the demand goes in the back half of the year. I do believe as the year progresses and we get closer to July, it's difficult to have a material impact in the current year, if inflation continues to increase. That being said, there's been a few positive trends in some of these commodities in the last two or three weeks but it appears to be stabilizing. So two or three weeks does not make a trend. But it's something that at least is encouraging in the sense that maybe this is starting to modulate a little bit. But it will be one of the more volatile things that we'll have to manage. Now, the good news is that I do believe we will be managing to a very strong demand market for the remainder of the year, most likely into next year as well. And so that clearly is a benefit associated with inflation. We are aggressively underway have focused on pricing actions across the two major businesses where there's impact, which is obviously Tools & Storage and industrial. Tools & Storage will do what they typically do, which is a very surgical approach focused on areas that we think pricing does not impact demand in a significant way. And so we will manage through that dynamic with our customers as we always do. And I think we'll have a pretty good success rate. Industrial actually is an area that we feel better about. We feel like we have good processes in place, we've already got price actions that we've taken in the last 30 days. And we will likely take some more in the next 90 days in those particular businesses. But we feel like that is well under control and the industrial team has been very focused on that. So I think the area of interest that we're all going to be watching is making sure we get the right impact and pricing in the tools and storage business. Now that being said, we do, we normally do to manage to this dynamic, which is in the short term. We're looking at other areas of productivity. We look at margin resilience is our contingency to help offset that if needed. And we're optimistic as we go through the year that we will find a way to navigate this headwind and be able to offset it completely. Right now, as Lee said we think we're more like 1/3 to 50% at this stage, but as the next three months go by, I think we're going to make more progress in that regard. Anything you want to add Lee?
Lee Mcchesney: Yes, I think you said it. Well, it's volatile. But we are we are off promoting on the action side, it's going on in all three businesses. Some have been announced. But we're in conversations with, with all really all parties. And then I remind everyone, we still have our margin resiliency contingency, where we have $100 million, that's not in our guidance. So if inflation was to creep up, we have some coverage there. And, I think we've built a pretty good place.
Operator: Thank you. Our next question comes from Jeff Sprague with Vertical Research. Your line is open.
Jeff Sprague: Thank you. Good morning.
Jim Loree: Hey Jeff, good morning.
Jeff Sprague: Good morning. Congrats, hey, maybe this play a little bit into the cost question, but just curious on the new plants, right, to Mexico and Fort Worth finally standing up, I think, you know, initially, those were viewed as kind of presenting an opportunity to shift geographically and get out from under [Indiscernible]. It sounds like they might just simply be need needed for volume, but to what extent do you see an opportunity, to geographically shift to sourcing. And, and kind of change the cost structure from that vantage point.
Jim Loree: We'll get there eventually. I would say, unfortunately, or fortunately, depending on how you look at it, but the volume you're spot on the volume has precluded any major shift, although you get minor shifts, because the waiting, the change in waiting just from having the additional production in, in these places. But the reality is, in when you're trying to serve, demand, that's up 45%, year-over-year, the opportunity to do production shifts is essentially, limited. And so once the demand returns to what I would call more historical levels, and at some point, it undoubtedly well, then the trend will be in great shape in terms of, we have the plans and programs, we have the people all set up to do it, we just need a window of opportunity to make that happen. And in the meantime, we'll continue to serve the demand that we have.
Lee Mcchesney: Yes, I'll just add one thing to that. One thing we are doing is, as we bring up these new plants in Mexico, we are building out the supply base in Mexico with it. And so, to Jim's point, whenever we do get to the stage where we can ship, more production from China into Mexico as an example, the supply base will be well established and well connected to our existing facilities at that stage.
Operator: Thank you. Our next question comes from Julian Mitchell with Barclays. Your line is open.
Julian Mitchell: Hi, good morning. I just wanted to circle back. Good morning, just wanted to circle back to the margin outlook. Looking at the sort of the guidance for Q2 and what you've said for the year, am I writing thinking that the second half sort of firm wide margin, you're looking at maybe a better sort of 15%, maybe a little bit lower margin in the second half. So down maybe a couple of 100 points year-on-year, just wanted to make sure I wasn't way off on that mat, and also sort of allied to that, if you could help us understand of the 235 million commodity headwinds, how much of that is in the second half, please?
Jim Loree: Yes, the commodity headwinds is close to $200 million in the second half. So a large portion that $235 is hitting us in the second half. So which really is a good lead into your first part of your question, which, I do think the operating margin for the company in Q2 will be somewhere around 15%, maybe a little bit higher than 15%, then the back half, it'll be somewhere between 14% and 14.5%, depending on how -- where the demand goes and, and our success and really offsetting that headwind along the lines I described. And so for the full year, our operating margin rate will be up modestly year-over-year. When you look at the big drivers of that clearly a large part of that is in our tools business, because that's where a large part of the commodity headwind is focused at this stage. And so for the second quarter, tool should be around 19%, maybe a little bit better 19% than 19%. And in the back half, it'll be around 17% to 17.5% margins. And so we look at that and we say that's just slightly below our 18% to 20% range that we laid out there and we just want to remind everybody that range wasn't necessarily applicable for every single quarter, it was more about an annual performance and a long term performance as well. And so for the year, we would expect the tools operating margin rate to be, somewhere between 18.5% and 19%. And which would be a significant increase over last year's margin rate of 18.3%.
Operator: Thank you. Our next question comes from Tim Wojs with Baird. Your line is open.
Tim Wojs: Yes. Hey, Hey, everybody. Nice. Nice work, good start to the year.
Jim Loree: Thanks, Tim.
Tim Wojs: Maybe my my question really just on supply chain? I guess where are you seeing the most acute pressure on the supply side? And maybe if you could just talk a little bit about some of the bigger actions that you're taking to just make sure you're at least keeping up with sell, sell through demand?
Jim Loree: Yes. So I mean, it's fairly straightforward, in the sense that it's batteries, semiconductors. We don't have resin shortages, per se. So, some I know some manufacturers are facing resin shortages. That's not our issue. Batteries, I think we have pretty much solved the problem that if the second half, if the second half growth accelerates beyond the guidance. First of all, we're good at the guidance level. And if we're only talking about would upside ever be constrained, batteries, no issue. And I made a trip to Asia, specifically to free up battery capacity for the second half. And we were successful in that regard. So batteries are no issue and it just comes down to semiconductors and how many hundreds of millions of dollars of more upside versus what's in the guidance as it relates to revenue can we achieve before we start running into shortages. And we're working on that issue as well. And we think we have some ability to make headway on that as in that regard as well.
Operator: Thank you. Our next question comes from Rob Wertheimer with Melius Research. Your line is open.
Rob Wertheimer: Hey, good morning, everybody. I know a lot of work with execution. It's, it's remarkable. I wanted to shift from the cost side to the revenue side, and you touched on some of the share gain that you've seen, including the online channel where I guess that kind of accelerates penetration to new markets. And I wonder, whatever additional color you're willing to give on the time, whether this is sent globally online is it continuing to shift. And maybe just for those of us who don't know, the markets as well, when you gain share in EM, or even in Europe, are you are you winning against other global players that, maybe a year or two or three behind you? Or, maybe more winning against smaller players who might have a hard time really ever catching up? I'll stop. Thanks.
Jim Loree: Yes, I think our e-commerce strategy was born about 10 years ago, or so when we did the Black & Decker merger with Stanley. And at that time, e-commerce was zero, or close to zero, just a smidge. And year-after-year after year, we worked hard developing that channel after the acquisition or the merger. And last year, we were up in almost $1.8 billion of revenue. And not only did we do it with the major e-commerce player in the United States, but we did it systematically around the globe. And so pretty much everywhere you look we have deep relationships with the big B2B, B2C players, and a flourishing business and that channel shift, that occurred last year, when the percent of revenue went from 12% to 18%. And Tools was truly remarkable. And now, with almost 2x e-commerce growth in the first quarter, that 1.7 billion plus business has incredibly strong prospects globally for this year. And instead of resting on our laurels, and just enjoying that advantage, because we share about a three to one relative market share advantage in that channel, globally. Instead of resting on laurels, we have taken a really significant investments in this channel in beginning of the fourth quarter, third, third, third, fourth quarter of last year and then accelerating into 2021. To the extent that we now have big teams of people working on this project. B2B, B2C around the globe as well as we're starting to go in markets where we are under indexed. So take, for example, China, India, and Germany. And we are investing in D2C capability. And we'll be doing a lot in that regard because those channels are so difficult to penetrate, given the existing share positions of the players that are out there today. So I would say that the share gains are coming from the major power tools, players and other tools, and then maybe in hand tools, is where the minor where local players. And I think that's going to continue, we'll see, we'll see how the e-commerce investments grow in the industry over time, and I would expect them to, but right now, we have a big first mover advantage, and we are pressing the accelerator to the floor to make sure that we sustain that advantage for as long as possible.
Operator: Thank you. Our next question comes from Markus Mittermaier with UBS. Your line is open.
Markus Mittermaier: Yes. Hi. Good morning, everyone.
Jim Loree: Morning.
Markus Mittermaier: Morning. Could actually ask the question on security, and especially on the common from France up 17%, Europe up 4% in that data driven product solutions business? What exactly is up? And if there are near term kind of COVID beneficiary that you see? Or is that something that could really make a dent in overall security segment growth here going forward? Thank you.
Jim Loree: Sure, Marcus. Yes, we actually holding up France as an example. And that's why I use that, in my comments is really what the business could be. Because they've taken the SaaS solutions, which really drive a lot of value with the customers were. So it's taking data from video analytics, and doing analysis and really helping our customers run their business more efficiently and effectively. And so they're ahead of the rest of the business in the geographies of electronic security. And they've been aggressively rolling this out. And they've, they've used the pandemic as an opportunity to work with our customers. To help them with the areas I described to ensure they achieved higher levels of productivity. They make better business decisions around in the case of if it's a retail operation, where their products are located in a store, when they do discounting and revenue and sales opportunities, etcetera. So this is a great pilot example of what the business can achieve. And then the North American business and the Nordics business in particular, is gaining some traction in this space as well. They're probably three or four quarters behind where France is, but we really see this as an exciting opportunity to continue to transform the business and a great pilot and as an example of what can be done.
Operator: Thank you. Our next question comes from Nicole DeBlase with Deutsche Bank. Your line is open
Nicole DeBlase: Yes, good morning guys.
Jim Loree: Good morning.
Nicole DeBlase: [Indiscernible] inflation discussion? How should we think about the carryover impact at this point to 2022, both with respect to the activity action that you guys plan to put into place perhaps put into place to offset a third?
Jim Loree: Perfect Nicole. So as we highlighted earlier, we give you the 21 number. It's yes, I'd say it's the equivalent maybe $150 million to $200 million of potential pressure in 2022. There is a bit of a topic out there of is this inflation going to continue, because there has been some supply disruptions. But right now we're going with the mindset that it will. And accordingly, that's why we're working on the pricing actions to get the benefit. You'll see this year but, next year, you'll actually have a potential scenario where you actually have more benefits than we have head wins.
Operator: Thank you. Our next question comes from Michael Rehaut with JPMorgan. Your line is open.
Unidentified Analyst: Hi, this is Alaei Homan [ph] on for Mike, congrats on the results. And thanks for taking my question. Can you talk about your sense for your POS in Tools & Storage relative to the underlying market and whether that delta is widening? So in other words, how much of the strong POS could be related to you gaining share versus an underlying continuing strong market?
Jim Loree: Yes, I mean, the POS continues to be very robust, and it's in those numbers that we provided back in January in that range and the trends continue. And so we, we believe that we're gaining very significant share, but there also is a pretty strong market demand as well, that's occurring right now. And so it's difficult to gauge exactly at this stage, in the short window, how much is share gain versus market growth. But I think it's more slanted towards share gain than it is market growth at this stage. And, and so I think that's the right way to think about it, though, the proof will be in the pudding, two or three quarters from now when we're able to look at what the actual GDP performance was, and what the performance was for certain trends in the tool industry. But I believe that if you look at these rates right now, probably at least half of it is related to share gains, if not more.
Operator: Thank you. Our next question comes from Ross Gilardi with Bank of America. Your line is open.
Ross Gilardi: Hey, good morning. Thanks for squeezing me in. I just want to ask about the second half outlook for tools and storage, you took it up, but it's still down. And just really do you feel like you've got to have an inevitable contraction at some point in the next 12 to 18 months, just because the comps and because the markets running so hot, that's that's really more of a timing issue, or could we just be in the beginning of a multiyear sustained expansion? And then just the second part to that? Did you push the four to five week restock into the second half? And essentially leave the minus 7% to 12% underlying for the back half on change? I wasn't sure if I was interpreting your formal remarks properly.
Lee Mcchesney: Yes, I will. And that second part of the question we, we did that we just we put the benefit of the inventory restock in the back half of the year. And but we did not change the underlying demand assumption from January. So that's the, that's really the opportunity as we progress through the next 90 days, and we provide an update to all of you in July, where are where are we at that stage? And I think that's the big opportunity in front of us which leads a little bit into the first part of your question that I personally, ask Jim to comment on this as well, because I know he has a strong point of view as well. I really think this is a robust market, we're going to see for a while. And I think when you look at all the different dynamics that are happening in various geographies, and the recovery coming out of the pandemic, people are still going to have a very intense focus on their homes, because many of us will continue to work in a hybrid environment, even when we get back to an office on a on a part time basis. So you want to have an environment at home that really is sufficient to meet the needs of both work and personal habits and behaviors. And then you have things like infrastructure, which are just, massive bills across the globe. I mean, we tend to talk about the U.S. as an area where there could be a potential large infrastructure investment, but there's a lot of other major countries, really, thinking about doing the same thing over the next 12 months to 24 months. So you can see a significant influx into the economy from that as well, both in the U.S. and globally. So I sit here and wonder, is there really a dip coming in the next 6 months to 12 months? And when the more I think about it, the more I feel like that we're going to continue to see this strong demand and growth continue. Obviously, I don't think we're going to grow 40% to 50%, every quarter for the next three years. But I do think there's a path for growth for the next two to three years. Jim?
Jim Loree: Yes, I think you've covered it, very well done. But the only thing I would say is I, I think we're going to be able to solidify the base, and then get back to a more normal, kind of 5% to 10% kind of growth type environment after that. That's my best guess right now, just based on, everything I know about the secular trends in particular. You think of what all the different things we mentioned a number of them. But the resurgence of DIY, there's a whole generation of people now that have become familiar with DIY. We have a whole generation of people that are using DeWalt [Ph] Black & Decker, and other Craftsman, other tools that will continue to add to their collections. We have the reconnection with home and garden that Don referenced. Outdoor seems to be the electrification seems to be taken off in a big way. And of course, we'll enjoy electrifying the small gas engine market, when we do the MTD acquisition, which is in our planning assumptions for the second half of this year, in terms of executing the option, and we don't know when that will close and when that closes, not necessarily in our guidance. And then there's the urban exodus. There was a big article in the Wall Street Journal front page today about that. So this whole notion of gradual exodus from urban centers into suburban and rural areas, there's a tremendous amount of home improvement and home sales that go on as a result of that. And that is a generational thing as well. And, and on and on and on. So I just believe the base is preservable. I think our forecast for the second half, is on the conservative side. And in all likelihood, we'll see that base preserved in the second half and my my view, but we have some of the other uncertainties out there relative to inflation and other things that I think we took a very prudent approach to our guidance, we had a great increase. And, just the share gain in general with the company and our e-commerce, our e-commerce share, which is definitely an on-going, an on-going phenomenon. So on balance, I think anybody that's looking for a big contraction in 2022 is probably going to miss the boat. And we'll see.
Operator: Thank you. I now turn like to turn the call back over to Dennis Lange for any closing remarks.
Dennis Lange: Shannon thanks. We'd like to thank everyone again for calling in this morning and for your participation on the call. Obviously, please contact me if they have any further questions. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.